Operator: Good afternoon. My name is Francis, and I will be your conference operator for today. At this time, I would like to welcome everyone to the Aspen Technology Q2 2019 Earnings Call. All lines have been placed on mute to prevent any background noise. After the speakers’ remarks, there will be a question-and-answer session. [Operator Instructions] Thank you. Mr. Karl Johnsen, our CFO, you may now begin your conference.
Karl Johnsen: Thank you. Good afternoon, everyone, and thank you for joining us to review our second quarter fiscal 2019 results for the period ending December 31, 2018. I'm Karl Johnsen, CFO of AspenTech; and with me on the call today is Antonio Pietri, President and CEO. Before we begin, I will make the Safe Harbor statement that during the course of this call, we may make projections or other forward-looking statements about the financial performance of the Company that involve risks and uncertainties. The Company's actual results may differ materially from such projections or statements. Factors that might cause such differences include, but are not limited to, those discussed in today's call and in our Form 10-Q for the second quarter fiscal 2019, which is now on file with the SEC. Also, please note that the following information is related to our current business condition and our outlook as of today, January 23, 2019. Consistent with our prior practice, we expressly disclaim any obligation to update this information. The structure of today's call will be as follows: Antonio will discuss business highlights from the second quarter, and then I'll review our financial results and discuss our guidance for fiscal 2019. With that, let me turn the call over to Antonio. Antonio?
Antonio Pietri: Thanks, Karl, and thanks to everyone for joining us today. We are pleased with our second quarter performance, which demonstrates continued strong execution by the AspenTech team and positive end market demand. Looking at the financial highlights for the quarter, revenue was $140.4 million, GAAP EPS was $0.83 and non-GAAP EPS was $0.92. Annual spend was $513 million, up 9.4% year-over-year. Free cash flow was $57.3 million, and we returned $100 million to shareholders by repurchasing approximately 1.2 million shares. During the quarter, we accelerated our share repurchase program to capitalize on the opportunity we saw in our share price. The AspenTech Board of Directors recently approved an expansion of our share repurchase authorization from $200 million to up to $300 million for fiscal 2019. We intend to repurchase $75 million of stock in both the third and fourth fiscal quarters, subject to business and market conditions. We believe this expanded repurchase program is an attractive use of capital and highlights the benefit of having a strong flexible balance sheet. Before I review the second quarter in more detail, I would like to spend a moment reiterating how we measure and evaluate the performance of the business now that we’ll report our financial results under Topic 606. We believe the following metrics provide a consistent view into the performance of the business and are not as skewed by the timing of renewal bookings at our income statement is under Topic 606. Annual spend is a metric I’m most focused on day-in and day-out to evaluate how well we are executing against our strategic initiatives and the growth of the business. This metric provides the best insight into our success in expanding usage within the installed base of our Engineering, MSC and APM suites, signing new customers and minimizing attrition. The second metric we are most focused on is free cash flow. This is how we track the efficiency with which we run the business and evaluate capital allocation opportunities, including our disciplined approach around expense management. Our performance on these two metrics is the basis for our corporate and executive bonus plans, and we believe we will provide investors with the best insight into our business performance. Turning to the second quarter in more detail, we delivered a solid performance across the entire business with broad-based strength in all three product suite and in each major geography. We had the strongest APM quarter to-date that reflects the success we are having turning our pipeline into customer wins. Following are some statistics about our APM business. During the second quarter, we closed APM transactions in eight different countries in the refining, chemicals, pharmaceuticals, mining, engineering and construction, and air separation industries. APM is a global business with 53 customers in 19 countries across a variety of industries. Six of the APM transactions closed in the quarter were in the six figure range, three of which were in the mid six figure range. Aspen Mtell contributed more annual spend growth in Q2 than in the previous five quarters combined. APM, which has contributed 0.7 points of growth to our year-to-date annual spend growth rate grew 190% in the first half compared to the same period last year. In addition, the APM business contributed 1.25 points of growth in the last 12 months. This performance keeps us on track for the full-year guidance of 1.5 to 2.5 points of growth. The success we are having with APM is driven by customers increasingly recognizing the cost savings and reliability improvement benefit that APM solutions can deliver across their asset base. We believe APM represents the largest Greenfield opportunity for most customers to reduce operating costs. Competitively, we’re quickly establishing the APM suite as the most differentiated in the market. We’re generating a strong win rate in competitive situations, and we're also seeing a growing number of wins that are also sole-source because of a strong customer references. We believe this reflects our growing mindshare and the positive impact of our efforts to identify and cultivate executive sponsors within customers. In the second quarter, our engineering business built on the progress we made in the first quarter and is tracking ahead of our expectations so far in fiscal 2019. The growth generated in the first half of fiscal year 2019 already exceeds the growth achieved in fiscal year 2018 for that business. We are seeing positive trends throughout the engineering business, including better than expected outcomes on E&C renewals, including lower attritions unexpected in some deals and addition of entitlement to existing contracts. A second straight positive growth quarter for North American E&C customers, providing greater confidence about the outlook for the business and increasing the investment by owner-operators in engineering modeling and simulation capabilities to drive operational performance improvement through better analysis and online predictive capabilities. Our owner-operator customers continue to benefit from a positive macro environment. They are investing to drive efficiencies across their operations and showing a greater commitment to operational excellence and digitalization than ever before. We expect that this environment will also contribute to double-digit growth for our MSC business in 2019. Looking at our 10 largest annual spend growth transactions in the quarter, we had a healthy mix of engineering, manufacturing, supply chain, and APM transactions. Once again, the APM suite was represented among the largest transactions in the quarter. While there will be variability quarter-to-quarter, we anticipate that all three products suites will be represented in our largest quarterly growth transactions going forward. Following is the representative sample of transactions closed in the quarter. First, an Eastern European integrated oil company selected Aspen Mtell for its sixth year digital transformation roadmap to support its digital refinery vision to improve operational efficiency and reduce margin leakage. Aspen Mtell will allow the customer to detect upcoming failures and avoid unplanned downtime. The customer will also deploy an Aspen Fidelis reliability model to perform availability and throughput analysis for the site to optimize spare parts to reduce costs. Second, a North American refiner selected Aspen Mtell after a competitive process and despite a lower price offering from the competition due to Mtell’s superior return on investment. The selection of Aspen Mtell is part of this customer’s digitalization initiative with the objective to create additional value through optimization and predictive analytics. Third, a top 10 global pharmaceutical company expanded its relationship with AspenTech by selecting Aspen Mtell to support its industry 4.0 and digitalization initiatives. Aspen Mtell will be implemented in one of the companies most advanced site where the variety of equipment complexity is well suited to realize significant return on investment. This was a competitive win were we satisfied all the customer's objectives in a three week pilot, a marked contrast to the pilot conducted by a major software company that delivered no meaningful results in over four months. Fourth, a multinational mining company selected Aspen Mtell as part of its smart mining and digitalization initiatives. The customer has stated publicly that it is selecting technologies that will transform how it mines, processes and markets its products. Aspen Mtell will be implemented in one of the companies’ larger mines in Africa to improve asset availability and increased production. Fifth, a North American Headquarter Engineering and Construction firm increased entitlement for our engineering software after previously considering a reduction in spend. We engage with the customers to determine how increasing the spend with AspenTech would support its future business outlook. The customer sited several key factors in expanding its usage of AspenTech software, including the flexibility and value delivered by our engineering suite and the innovation that is continually added into our products. Sixth, a state-owned company, one of the largest oil and gas producers in Africa and user of AspenTech’s engineering solutions replaced a competitive solution with our MSC suite as part of the company's 2030 digitalization and modernization initiatives. The Company decided to adopt and implement our Aspen PIMS and Aspen DMC3 technologies after estimating it would realize tens of millions of dollars in annual benefits. And last, as you can see from our press release we issued earlier today, IRPC an integrated petrochemical company in Thailand selected Aspen Mtell prescriptive maintenance software in support of the company's industry 4.0 strategy. IRPC will deploy Aspen Mtell for its refinery and petrochemical plants to improve the equipment reliability, mitigate on plant downtime, achieve operational excellence, and increased profitability. These handful of references are just a few of the transactions signed in the quarter, which support the strong results deliver even as micro headlines created uncertainty with investors during the quarter. To be clear, we have not seen any changes in the business environment or any impact from the recent fluctuations in oil prices. In this regard, there are several key points we believe investors should keep in mind. There continues to be a positive outlook for technology spending overall, and we believe capital intensive industries are in the midst of a secular technology adoption cycle. Two, regarding oil prices that fluctuation in the price of this commodity in the past 12 months between $40 and $75 for the WTI benchmark has not been a relevant factor in the performance of our business. Three, the primary driver of E&C and upstream spend for our engineering suite is CapEx spend from oil and gas companies, which modestly increased in the mid-single digits over the last 12 months. CapEx spend is the metric that we must focus on from a macro outlook standpoint. Four, it is also important to remember that less than 40% of our business is driven by CapEx spend in oil and gas, which generates investments in new projects and existing operation that benefit E&C and upstream businesses and drives more use of our software. Five, the improvement in performance of our engineering business in the last 12 months has occurred in the context of the modestly improved CapEx environment I just mentioned. Six, E&C and upstream customers are approaching the end of the right sizing of their AspenTech entitlement capacity in their renewal cycle that followed the drastic decline of approximately 40% in global oil and gas CapEx spend in 2015, 2016. Although CapEx spend has grown modestly each year since 2016, it remains near the trough levels. As a result, we believe it is unlikely there will be a further decline in CapEx spend that would lead further material in settlement reductions at this customer's approach, a new renewal cycle. Seven, and finally, it is important to remember that the majority of our overall business is driven by owner-operators OpEx spend, which supports the consistently strong performance in our MSC suites and help to accelerate our engineering business. Looking ahead, we feel good about the business. This reflects a strong execution and the positive impact of the growth investments we have made over the past 18 months to 24 months. Based on our first half performance and our outlook for the second half of the year, we are increasing our annual spend growth forecasts to 8.5% to 9.5%, which compares to our previous guidance of 7% to 9%. At the midpoint, this would represent a 250 basis point increase in growth year-over-year. The updated guidance anticipates better than expected performance in our engineering suite based on the trends I discussed earlier and a continuation of the double-digit growth performance from the MSC business. We continue to expect APM will contribute 1.5 to 2.5 points of annual spend growth for the year. APM had a strong first half of the year and has a strong pipeline of opportunities in the second half. As a reminder, we have forecasts at APM growth to be more back-end loaded due to customer budget cycles. To summarize, AspenTech delivered a strong second quarter performance that demonstrate we're executing well and benefiting from our discipline approach and investments to support the acceleration of our growth. We have multiple levers for growth and a scalable business model that generates significant free cash flow. Our updated guidance reflects our confidence in the business and we remain focused on executing on our strategy to deliver value for shareholders. With that, let me turn the call over to Karl. Karl?
Karl Johnsen: Thanks, Antonio. I will now review our financial results for the second quarter of fiscal 2019. As a reminder, these results are being reported under Topic 606, which has a material impact on both the timing and method of our revenue recognition for our term license contracts. Our license revenue is heavily impacted by the timing of bookings and more specifically renewal bookings. A decrease or increase in bookings between fiscal periods resulting from a change in the amount of term license contract up renewal is not an indicator of the help or growth of our business. The timing of renewals is not linear between quarters or fiscal years, and this non-linearity will have a significant impact on the timing of our revenue. As a result, we believe our income statement will provide an inconsistent view into our financial performance, especially when comparing between fiscal periods. In our view, annual spend will continue to be the most important metric in assessing the growth of our business. Annual free cash flow, the most important metric for assessing the overall value our business generates. Annual spend, which represents a accumulated value of all the current invoices for our term license agreements at the end of each period was approximately $513 million at the end of the second quarter. This represented an increase of approximately 9.4% on a year-over-year basis and 3% sequentially. Total bookings, which we define as a total value of customer term license contract signed in the current period less the value of term license contracts signed in the current period where the initial licenses are not yet deemed delivered under Topic 606. Sort-term license contracts signed in a previous period for which the initial licenses are deemed delivered in the current period was $154.8 million and 80% increase year-over-year. The increase in bookings year-over-year is the result of a significant increase in the amount of term license contracts up for renewal as compared to the year-ago period. As I mentioned earlier, bookings can fluctuate significantly between periods, since it is driven in large part by the timing of when customer contracts are up for renewal. Year-to-date bookings were $250.9 million, a 19% increase year-over-year. Total revenue was $140.4 million for the second quarter, a 33% increase from the prior year period. The year-over-year increase in revenue was the result of the increase in total bookings discussed above. Breaking revenue down by line item. License revenue, which represents the portion of a term license agreement allocated to the initial licenses, was $93.4 million, a 64% increase year-over-year. As mentioned earlier, the increase is the result of the higher amount of term license agreements coming up for renewal in the quarter as compared to the year-ago period. Maintenance revenue, which represents the portion of the term license agreement related to ongoing support and the right to future product enhancements was $41 million, a 1% increase from the prior year period. Maintenance revenue in the second quarter was reduced by non-recurring accounting adjustment and we would expect it to grow sequentially in the third quarter. Maintenance revenue is recognized in a daily ratable basis over the life of the term license contract and will grow more in line with their annual spend. Services and other revenue was $6 million, a 23% decline from the year-ago period. The decline in service revenue is largely driven by the timing of projects. Turning to profitability, beginning on a GAAP basis. Gross profit was $125.7 million in the quarter with a gross margin of 89.5%, which compares to $93.4 million and gross margin of 88.5% in the prior year period. Operating expenses for the quarter were $61.9 compared to $63.3 million in the year-ago period. So expenses including cost of revenue were $76.7 million, which was up from $75.4 million in the year-ago period and down from $77.2 million last quarter. Operating income was $63.8 million for the second quarter of fiscal 2019 compared to $30.1million in the year-ago period. Net income for the quarter was $59.2 million or $0.83 per share compared to net income of $132 million or $1.81 per share in the second quarter of fiscal 2018. Net income in the year-ago period had a non-cash $97 million tax benefit from our adoption of Topic 606 and the implementation of the Tax Cuts and Jobs Act of 2017. Interest income in the second quarter was $7.5 million, up from $6.2 million in the year-ago period. Recall that under Topic 606, there is an implied financing component to our term license contracts. The imputed value of this financing component is taken from the license fees and recognizes its interest income over the payment term. Turning to non-GAAP results, excluding the impact of stock-based compensation expense, amortization of intangibles associated with acquisition and acquisition related fees, we reported non-GAAP operating income for the second quarter of $71.2 million, representing a 50.7% non-GAAP operating margin, compared to non-GAAP operating income and margin of $37.8 million and 35.8% respectively in the year-ago period. Non-GAAP net income was $65.1 million or $0.92 per share in the second quarter of fiscal 2019 based on 71.1 million shares outstanding. This compares to non-GAAP net income of $137 million, a $1.88 per share in the second quarter of fiscal 2018 based on 73 million shares outstanding. Turning to the balance sheet and cash flow, the Company ended the quarter with $54.4 million in cash and marketable securities, compared to $52 million at the end of last quarter. As Antonio mentioned, during the second quarter, we repurchased 1.2 million shares of our stock for $100 million. Contract assets at the end of the second quarter were at $687.7 million. This is a new line item on the balance sheet under Topic 606, the represents the portion of the initial license performance obligation that has been recognized as revenue, but not invoice. This is sometimes referred to as unbilled accounts receivable. From a cash flow perspective, we generated $57.5 million of cash from operations during the second quarter and $57.3 million of free cash flow. After taking into consideration, the net impact of capital expenditures, capitalized software, litigation and acquisition related payments. A reconciliation of GAAP to non-GAAP results is provided in the tables within our press release, which is also available on our website. I would now like to close with guidance. Remember that we will now only be providing guidance on an annual basis and providing directional commentary on the timing of annual spend and bookings during the year. We are increasing the guidance we provided at the beginning of the year. We now expect bookings in the range of $565 million to $590 million, which includes $398 million of contracts that are up for renewal in fiscal 2019. This is an increase from our original guidance of $555 million to $585 million. From a timing perspective, we expect bookings, and therefore revenue will be more heavily weighted to the second half of the year, with the fourth quarter being the largest bookings quarter. With respect to annual spend growth, we are now forecasting 8.5% to 9.5% annual spend growth. Breaking this down further, we expect 7 to 8 points of growth will come from our core engineering and MSC suites and 1.5 to 2.5 points of growth from the APM suite. Similar to fiscal 2018, we expect growth to be weighted to the back half of the year due to the timing of customer budget cycles. We now expect revenue in the range of $545 million to $567 million. We expect license revenue in the range of $351 million to $368 million, maintenance revenue in the range of $166 million to $169 million and service and other revenue in the range of $28 million to $30 million. From an expense perspective, we expect total GAAP expenses of $309 million to $312 million. Taken together, we expect GAAP operating income in the range of $236 million to $255 million for fiscal 2019, with GAAP net income of approximately $216 million to $232 million. We expect GAAP net income per share to be in the range of $3.02 to $3.24. From a non-GAAP perspective, we now expect non-GAAP operating income of $268 million to $287 million, and non-GAAP income per share in the range of $3.37 to $3.60. This compared to $257 million to $283 million and $3.19 and $3.48 previously. From a free cash flow perspective, we now expect $223 million to $228 million up from our prior guidance of $220 million to $225 million. Our fiscal 2019 free cash flow guidance assumes cash tax payments of approximately $45 million to $50 million up from our prior expectation of $40 million to $45 million. In summary, we delivered a strong financial and operational performance in the second quarter. We are seeing positive trends across our business and are executing well on our strategic priorities. We believe we are well positioned to continue delivering an attractive combination of growth and profitability that can generate value for shareholders. With that, we would now like to begin the Q&A. Operator?
Operator: [Operator Instructions] We have a question from the line of Shankar Subramanian from Bank of America Merrill Lynch. Your line is now open.
Gowrishankar Subramanian: Hi. Happy New Year to you guys and congrats on the really good results.
Antonio Pietri: Thank you.
Gowrishankar Subramanian: So just on the APM opportunity, you mentioned a lot of use cases that's coming to fruition. Maybe help us understand some – on the pipeline basis, maybe some more color on your core market and your [GEIC] market? What do we expect to kind of come to fruition? What are the most important use cases that you're seeing in the pipeline that could consider revenue in this coming year?
Antonio Pietri: Yes. So our APM pipeline has grown over the last number of quarters. And I said a couple of quarters ago, I believe, or last quarter that it was above 40% of our total pipeline. Of that, I've also told investors that about 10% of that APM pipeline is from the GEIs. The strongest use cases that we're seeing at the moment in the GEIs are in the mining sector where we're seeing a lot of interest, not only from customers that we’re signed up, but also potential customers. While we’ve never classified pharmaceuticals as a GEI, but it isn't really a core, but we're also seeing a lot of traction and a lot of interest in pharmaceuticals. And then there's the different other industries. Last quarter, we talked about a cardboard box manufacturing facility in Thailand and other – we had an air separation company and so on. But to answer specifically to your questions, mining, pharmaceuticals and then a mix of other industries.
Gowrishankar Subramanian: Got it. So on the – just have a follow-up on the beacon license revenue. Related to what you had in mind getting into the quarter, what was the surprising factor? Was it kind of – you expected this kind of a term license mix to come in stronger? Or was it a surprise factor that's going to happen towards the end of the quarter?
Antonio Pietri: Well, let me be clear. We've given investors the profile of renewals that we have in the fiscal year in each quarter – for each quarter. And Q2 – in that profile, Q2 had a larger number of renewals and therefore revenue. And that's part of the performance that we delivered from our revenue standpoint. We did outperform on an annual spend growth basis, which does turn into incremental bookings as well. But fundamentally the core of the Q2 quarter was on the basis of the amount of renewals that we had – we had in that quarter.
Gowrishankar Subramanian: Got it. Thank you so much guys.
Antonio Pietri: Yes. Thank you.
Operator: We have a question from the line of David Hynes from Canaccord. Your line is now open.
Antonio Pietri: Hi David.
David Hynes: Hey guys. How are you? Nice numbers. And Antonio, thank you for the helpful macro comments. I think that heads off a lot of the investor questions that I've been getting. Maybe one on APM. Last time we talked, I think, pilot capacity was a bit of a chokepoint. Obviously, you're seeing nice results, but it speaks of the demand you're seeing. I mean, can you talk about any initiatives you have underway I guess to kind of improve bandwidth for delivering these pilots and pushing folks through the pipeline faster?
Antonio Pietri: Yes. So certainly we felt a couple of quarters ago that this was going to be a potential issue for us, our ability to handle all the demand we're getting for pilots and we're taking steps to setup an organization that we're centralizing the analysis of the data that we get when we're going to do pilot as to develop the best practices, be able to have a team that is a scalable in one location. And therefore as they develop best practices and they increase their productivity, we will be able to increase our pilot execution engine. And we're already setup with that team. We're now ramping it all from a standpoint of capabilities and systems, and we expect that team will start having an impact on our capacity to do pilot here in this current quarter.
David Hynes: Got it. That's helpful. And then maybe one for Karl. Karl, maybe a bit in the weeds, but license revenue as a percent of bookings, right. I think we talked about it falling in a certain range in 60%, it kind of came in towards the low end of the range, I think my math like 60%? Can you just remind us what are the swing factors that determine when license is recognized in terms of – in the quarter versus in future periods and how we should think about that going forward?
Karl Johnsen: Sure. David, there's a couple of pieces that move in. First one is what you talked about, what could cause them their license to be ratable. If it's a booking in the period that means I've delivered it and it's converting to revenue as opposed to supersede where the bookings gets moved out. So sometimes the performance obligations will be related to a license and that could be a disaster recovery site. And that's something that we deliver over time. So that would be more ratable. So those have a bit of an impact and they can play with the percentage of that booking that turns to license revenue period. The other piece, it probably be a little bit bigger of a role is if you remember, we have a certain percentage of a license revenue might is going to be recognized as interest income because we’re getting paid over time. So if I have deals that are getting done in a area of the world where there's a higher imputed interest rates, so high risk, more of that license fee will be recognized interest income as opposed to purely license.
David Hynes: Okay.
Antonio Pietri: So you could see both of those things drive that.
David Hynes: Got it. And is it fair to assume that we should see – assuming the business kind of trend line grows as it is that we should see interest income continue to kind of sequentially tick up in future periods? Is that the right way to think about it?
Antonio Pietri: Yes, it's going to be a waterfall and it depends because you may have had some large ones that are at the time they had a higher interest rate coming off and going down and vice versa.
David Hynes: Yes, correct.
Antonio Pietri: But in general, you should see it directionally go up as we grow, as the base of business grows, you would expect that to go up. The only caveat to that is you could get some anomalies in there for people's interest rates changing up or down.
David Hynes: Yes, okay. That makes sense. Perfect. Thanks guys.
Antonio Pietri: Thank you.
Operator: We have a question from the line of Monika Garg from KeyBanc. Your line is now open.
Antonio Pietri: Hi, Monica.
Monika Garg: Hi, Antonio. Great results. So just couple of questions, maybe could you talk about how is the Emerson relationship going, maybe talk about the pipeline with Emerson? Any deals you have closed?
Antonio Pietri: Look, our relationship with Emerson is good, as far as the pipeline and our go-to-market activities. They are focused primarily around our engineering suite on operator attorney simulators and advanced process control. We're working with them to build capabilities and capacity. They're in the process of – they have a solid pipeline, especially on the operator trend simulator area where our engineering suites is used, and there are also beginning to contribute in the APC area, but we have our one-year anniversary since we announced a relationship coming up and at that point we're going to sit down and do a second review of the progress we're making. But we're happy with where things are going and I would like to think that they would also express a similar sentiment.
Monika Garg: Then on the E&C customer site, could you provide details upon like how is the pick up in demand you are seeing in the E&C side? Thank you.
Antonio Pietri: Yes. So I think this has been one of the sort of upside surprises. We saw in the quarter and in Q1. In that we're seeing a better demand, from E&Cs. That means really two things. One, a less attrition, less reduction in spend as agreements have come up for renewal. We're also seeing some customers add entitlement to their existing agreements, which we felt, would be what would start to happen as the macro outlook, and as time passed and then macro outlook improved, but also as we got through the base – we got through renewing the base of contracts that we've had and as customers see an uptick in business. They would have to come back for new entitlements. So its two quarters of a positive performance to two points of data start making a line. But we like to see a few more points, but so far so good.
Monika Garg: Thank you so much.
Antonio Pietri: Yes.
Karl Johnsen: Thank you.
Operator: We have a question from the line of Sterling Auty from JPMorgan. Your line is now open.
Antonio Pietri: Sterling?
Sterling Auty: Yes, thanks. Hi, Guys. I want to go back to the macro? So if I look at Wall Street forecasts for CapEx for a number of your customers, it actually seems like the CapEx forecasts are a little bit more cautious at this point than they were at this time a year ago. Do you think there's a disconnect between what Wall Street is kind of factoring in and thinking about in terms of what's happening in the macro versus what you're hearing directly from customers?
Antonio Pietri: Well, let me look – so we really haven't – one of the things we focused on of course as we're going to turn the page on last year and as we came into this year was trying to understand customer sentiment around budget and spending. And the fact is that that we haven't detected any change in sentiment. Now we do pay careful attention to CapEx budget announcements. And I think for the most part, what we've seen is flat to increase in CapEx. Again, sort of a mid single-digit increases. What I would point out though of those increases is that most of those increases are going into shale oil and shale gas spending, and it's something that we've talked about in the past, and we don't benefit as much from it. So I think it's perhaps too early to say what's going to be the outcome of a CapEx budget for 2019. But if anything, I would project it to be flat to sort of low-to-mid-single digits, again, which is what we've had for the past three years. And the improvement in our business is in the context of that macro environment.
Sterling Auty: All right. Great. And then one just clarifying question, the positive comments that you made about owner-operators. Was that E&C, MSC both and what end markets were you specifically referring to, energy, chemical, or was it across the Board?
Antonio Pietri: Yes. So when we talk about owner-operators, we refer specifically to sort of refiners and chemical producers or pet chem, if you will. And then owner-operators in a way are users of our three suites, certainly the MSC suite and the double-digit growth that we've experienced in the MSC suite is purely out of owner-operators. Our engineering business grows in two ways. One is E&Cs or in the last few years has contracted as a result of E&Cs, but owner-operators are also users of our engineering software and they've been a positive driver of our engineering business growth. And also remember now that the owner-operators are the buyers of the APM suite and the OpEx budget that they're using for APM. So that's sort of an important group of customers for our business.
Sterling Auty: Thank you.
Antonio Pietri: Yes. Thank you.
Operator: We have a question from the line of Matt Lemenager from Baird. Your line is now open.
Matthew Lemenager: Thanks. It’s Matt Lemenager on for Rob Oliver this afternoon. Thanks for taking the questions.
Antonio Pietri: Hey, Matt.
Matthew Lemenager: Antonio, I had a question on the six figure APM transactions you mentioned. And I guess just curious how those expansion came about in terms of sales cycle, what that might look like? And I guess is that the first expansion post pilot or have there been multiple expansions before getting to that level or size?
Antonio Pietri: Well, I mean, look some of them are first contracts with these customers and others is the outcome of perhaps an initial license for six months or a year that has turned into now a broader deal. But look, the fact is that in the deals that we signed in Q2, we had a transaction that basically from the first executive level meeting to signature of the contract took about three months. We've been working in some of them for nine to 12 months. Some of them were purely on a sole-source basis, others were competitive as a number of references I talked about in my prepared remarks described. So it's a complete mix of pathways to the outcomes that we're achieving. But we are now starting to get to the sort of the gate of potential enterprise deals as a result of the work we've been doing over the last 18 months and hopefully that will drive part of our second half performance.
Matthew Lemenager: Great. Thanks, Antonio.
Antonio Pietri: Yes. Thank you.
Operator: We have a question from the line of Matt Pfau from William Blair. Your line is now open.
Antonio Pietri: Hi, Matt.
Matthew Pfau: Hi, guys, thanks for taking my questions. First one to hit on the increase in guidance and specifically around annual spends. So that outperformance with that increased outlook has been driven by the engineering and MSC suite. And so maybe is that coming from some of the commentary that you made, Antonio, around E&C is perhaps performing a bit better than expected, or are there other contributing factors in there as well?
Antonio Pietri: Yes. For engineering, it's both E&Cs better outcomes on renewals, the new entitlement, but also the owner-operators. We were also seeing a better at demand for our engineering suite in our owner-operators. And let me tell you, I continue to be amazed about our MSC business. It just customers continue to adopt out technologies. We're seeing – I think we're seeing – note I think I know we're seeing tremendous demand for our DMC3 product, advanced process control and optimization that have been categorized as foundational digital technologies, and we believe that is driving a lot of focus on those product areas. And then APM, I think the traction we're seeing with APM of course, is in the context of digitalization initiatives.
Matthew Pfau: Got it. And then you mentioned with DMCs to some of the upside that you're seeing there is just some loss attrition. So I guess where are we add with churn relative to historical levels? Are we back to where you were, or is there still ways to go before you get back to some of the levels that were at pre-oil crisis?
Antonio Pietri: Well, let me – remember that what we gave guidance for fiscal year 2019. We guided attrition to be in the 4% to 5% range. That is from a 5.2% attrition outcome in fiscal year 2018. Our historical rate is in the range of 3%. We believe we're trending towards the low end of the range that we gave for guidance sort of the 4% area. And I think that's getting reflected into the results that you are seeing.
Matthew Pfau: Great. That’s if for me guys. Thanks a lot.
Antonio Pietri: Thank you.
Operator: We have a question from the line of Steve Koenig from Wedbush Securities. Your line is now open.
Steve Koenig: Hi, gentlemen. Thanks for taking my question. Maybe quick housekeeping and then my more [indiscernible] question, Karl, can you just give us a little bit more color on net accounting adjustments and maintenance? And then I've got one follow-up if you don't mind.
Karl Johnsen: Yes. I know it was just a timing thing that we had in the period where it was that kind of a catch up on it. Is the one-time it's non-recurring. I would say it depressed the revenue in the period, maybe about a $1 million, $4 million, $5 million, that’s going to help you with your run rate.
Steve Koenig: Okay, Karl. Thanks. I wanted to ask about APM. So Antonio, you talked about seeing success there, where competitors are failing. Can you talk a little bit about where in particular in the broad range of claims that vendors are making and predictive analytics is about that are use cases? Where are you most differentiated and what's likely to drive your success, going forward and maybe if you could relate that to you're actually doing a bunch of different things and you had several acquisitions that help boost your APM strategy? So maybe you could relate it to granular products as well. It would be really helpful.
Karl Johnsen: Yes. So I mean look at there's multiple products in the APM suite, but certainly the workhorse at the moment is our Mtell product. And look the most differentiating factor about Mtell right now is its ability to accurately predict failures. And the customer reference that where I talked about this customer spending four months of working with a major software company around predictive analytics for failure and not achieving any results, and then we come in and in three weeks. We've demonstrated the capabilities of Mtell and the customer engineers is our ability to quickly get to customers, get to their data, process that data in a pilot environment, demonstrate our ability to predict a historical failures against historical data. But then using, what is a blind to adjusted data, not understanding their failures, and based on the data, again, accurately predicting the failures. And for customers that have already implemented the technology was the pleasing and rewarding fact that we're seeing is that these customers are actually catching failure. The technology now that it's online, an implemented its predicting failures and equipment and customers are validated in the performance of the technology. So I would say that is the most important factor. Certainly ease of use, ease of deployment, vis-a-vis other companies. We have a product that is specific to predictive analytics. I believe in some cases, the competitor that these companies are working with really companies that have built an IoT platform and now are interested in analytics and are using some algorithms to portray themselves as an analytics company so that that is the case. Look, the Fidelis product, we also had a nice win to our product and our ability to do a reliability analysis that are run the entire site and soon we'll be releasing other capabilities, in the suite, online capabilities for our ProMV product that we believe will start creating material, pipeline in the APM suite from the product. So I don't know if I've addressed all the points that you wanted me to discuss or is there something more you'd like me to know?
Steve Koenig: That's great. If I had one follow-up question, there would be about, where are you in terms of your desire to price those deals based on the system as opposed to the equipment or is that still us with strategy that you're pursuing. And where are you with that work when it comes to signing deals?
Antonio Pietri: Yes. No, I mean we continue to rise based on sites more of you can call it a system or enterprise aside an enterprise as opposed to a specific by equipment. Customers are adapting or accepting of that licensing model. At the same time, not every customer wants to license that technology that way and there's customers that are very specific on a certain type of equipment, but for which they have a very large number of that type of equipment. So they are interested in enterprise license around very large numbers of a specific type of equipment. So we're working with those customers to understand how – what is the right value proposition for them and for us AspenTech, and so look its all indications of the early days of a new market. But the size of transactions that we're doing, I think it's an indication of the value that is created by the APM suite.
Steve Koenig: Fantastic, great. Well, thank you very much.
Antonio Pietri: Thank you, very much.
Operator: We have a question from the line of Mark Schappel from Benchmark Company. Your line is now open.
Antonio Pietri: Hi, Mark.
Mark Schappel: Hi, guys. Nice job on the quarter. Most of my questions have been answered though, just one question on your Latin American business. Antonio, last quarter you noted return of some of your Latin American customers and I was just wondering if this trend to a continuous?
Antonio Pietri: Actually, it wasn't the reference, but, we did have a nice transaction in Latin America. Not in one of my favorite countries, but it was a very nice growth transaction for engineering software from an owner-operator from one of the old companies down there. So that was very nice. No I do think that overall sort of Latin America is coming back from a spend standpoint. We're pursuing other opportunities in the region. We have a team in Latin America that is local to the business down there. They are very hungry and excited about making a difference in AspenTech and I expect them to do so going forward.
Mark Schappel: Great. Thank you.
Operator: We have a question from the line of Joshua Tilton from Berenberg. Your line is now open.
Antonio Pietri: Hi, Josh.
Joshua Tilton: Hi. Thanks for taking my questions. Can you provide the breakdown of annual spend in terms of growth and churn? And then also what's the percentage of annual spend that APM contribute? I think you mentioned 0.7 points of contribution?
Antonio Pietri: Yes. So we've never given you the sort of the breakdown on gross growth versus net, but we’ve given you an attrition number – guidance for attrition for the year four to five. I just stated that we're trending towards the lower end of that range, sort of the 4% range. In the context, we had a strong quarter. We've had a strong first half. That means that we were also creating a lot of gross growth. And again, like I told the investors in the past, if you think about our trailing growth rate, our new guidance and attrition rate and what I just told you towards what number we’re trending for that attrition rate. Well, if you add those two numbers that means that we'll be delivering gross growth well north of 10% in the company. So this is – look, the company continues to generate double-digit gross growth. One difference now is that our attrition certainly is coming down. The team is doing a very good job of focusing on attrition and mitigating the reductions in spend. But also I think that, as I said it in my remarks, we're approaching the end of the renewal cycle and things are tailing down.
Joshua Tilton: Okay. And then maybe just to follow-up, being that APM is a new market, how far along are we in terms of customers understanding the value of the product? Is education still a big hurdle?
Antonio Pietri: I think – so certainly with a customer that we've engaged, I think they understand it now, but in my opinion we've only touched a fraction of the customers and frankly this feels like very early stages of a baseball game.
Joshua Tilton: All right. Thank you very much.
Antonio Pietri: Thank you.
Operator: There are no further questions at this time. Mr. Pietri, you may continue.
Antonio Pietri: Well, I want to thank everyone for joining the call today. I look forward to talking to you as we get on the road here. Thank you all.
Operator: This concludes today's conference call. You may now disconnect.